Operator: Thank you for standing by. This is the conference operator. Welcome to Aritzia's First Quarter 2025 Earnings Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Beth Reed, Vice President, Investor Relations. Please go ahead.
Beth Reed: Thanks for joining Aritzia's first quarter fiscal 2025 earnings call. On the call today, I'm joined by Jennifer Wong, our Chief Executive Officer; and Todd Ingledew, our Chief Financial Officer. As a reminder, please note that remarks on this call may include our expectations, future plans, and intentions that may constitute forward-looking information. Such forward-looking information is based on estimates and assumptions made by management regarding, among other things, general economic and geopolitical conditions, as well as the competitive environment. Actual results may differ materially from the conclusions, forecasts, or projections expressed by the forward-looking information. We would refer you to our most recently filed management discussion and analysis and our annual information form, which include a summary of the material assumptions as well as risks and factors that could affect our future performance and our ability to deliver on the forward-looking information. Our earnings release, the related financial statements and the MD&A are available on SEDAR+, as well as the Investor Relations section of our website. I'll now turn the call over to Jennifer.
Jennifer Wong: Good afternoon, everyone, and thank you for joining us today. For the first quarter of fiscal 2025, we delivered an 8% increase in net revenue to $499 million. Comparable sales grew 2% as all geographies and all channels comped positively. Throughout the quarter, we continued to optimize the composition of our inventory. This drove a sequential acceleration in sales growth each month of the quarter. In addition to our improved inventory position, sales growth was also fueled by our new and repositioned boutiques and growing brand awareness in the United States, our primary growth market. US net revenue increased 13% in Q1, while in Canada, net revenue grew 2%. In our retail channel, net revenue increased by 9% in the first quarter. This was driven by positive comparable sales growth in our boutique and the progress we've made on our real estate expansion strategy. In Q1, we opened a newly repositioned location in Oak Brook, Illinois. Thus far in Q2, we've opened a new boutique in Boca Raton, Florida. Later in Q2, we plan to open three additional boutiques in Jacksonville, Florida; Plano, Texas; and San Diego, California. Our boutique openings have a proven track record as our most consistent and most predictable driver of top-line growth, and the performance of our new boutiques remains strong beyond our expectations. The opening of our newest location in Boca Raton beat our internal sales projections by more than 35% and is tracking to pay back in just 10 months. This beats our own projections of 12 to 18 months. In addition, more than 60% of our clients during opening week at Boca Raton were new to Aritzia. This highlights the significance of our new boutiques as meaningful drivers of brand awareness and client acquisition in the US. In addition to the strong performance of our new boutiques, our boutique repositions also continue to deliver. The expanded square footage elevates the customer experience, allowing for enhancements such as a broader product assortment and more fitting rooms. Repositions also drive top-line growth and profitability. Our repositioned boutique in Short Hills, New Jersey, which happens to be celebrating the one-year anniversary of its reopening next week, is generating incremental sales growth of 75% and delivering a much higher contribution in terms of both margins and dollars. Turning to e-commerce, net revenue grew 4% in the quarter in spite of a lower volume of markdown sales compared to the first quarter last year. But what is most encouraging is the momentum we're seeing. Sales accelerated throughout the quarter as we further optimized the composition of our inventory. We're also focusing on a number of initiatives intended to further enable growth in e-commerce and create a more cohesive digital journey for the customer. These strategic initiatives include an investment in digital marketing that will drive four key benefits; it will protect our brand, amplify our product franchises, grow awareness in the US, and fuel additional customer engagement. We also continue to make progress on enhancing the technology underpinning Aritzia.com. We expect the improved site to go live in the back half of this fiscal year. Other initiatives to drive digital include improving our online merchandising, optimizing our omni-channel capabilities, enhancing our international e-commerce site, and developing a mobile app. Turning now to product, we entered Q1 well-positioned with our assortment in-line with our historical balance of new styles and client favorites. Throughout the quarter, we focused on further improving the composition of our inventory. We were pleased to see that this improved inventory position resulted in an acceleration in sales trends as the quarter progressed. Clients responded well to both our new styles and client favorites. Our performance was consistently strong across product categories, from our beloved sweatfleece and Effortless collections to brands such as Denim Forum. In marketing, we continue to focus on amplifying our product and our much-loved Everyday Luxury experience. We're gaining momentum and recognition in the US, not only with customers, but also in the industry. The Wall Street Journal featured an article on the rising popularity of our iconic Effortless Pant, underscoring its distinguishing features such as designs, tailoring and fabrication. Our network of celebrity fans also continued to expand. Hailey Bieber has been spotted in our BestHug Little Ribbed T-shirts on numerous occasions and in multiple colors. And Jessica Alba has been wearing the Super Puff Vest for cooler mornings in California. This growing media coverage and community of celebrity fans helps build industry relations, fashion credibility, and cultural relevance. All of this propels brand awareness and drives client acquisition in the US. Now, let me turn the call over to Todd.
Todd Ingledew: Thanks, Jennifer, and good afternoon, everyone. Net revenue for the first quarter was better than our outlook and we delivered substantial adjusted EBITDA margin expansion that exceeded our expectations. Our momentum has continued into the second quarter, driven by the ongoing strength of our US business. Having optimized our inventory position, we remain optimistic about our growth plan and margin expansion opportunities and we're reiterating our guidance for fiscal 2025. Turning to the details of our performance, in the first quarter of fiscal 2025, we generated net revenue of $499 million, representing an increase of 8% from last year. Comparable sales grew 2%, as all geographies and all channels comped positively. Importantly, we saw a sequential acceleration in revenue growth throughout the quarter, as we continued to improve our inventory position. In the first quarter, net revenue in the United States increased 13% from last year to $285 million, primarily driven by the progress we've made on our real estate expansion strategy. This includes five new and four repositioned boutiques in the United States in the last 12 months. In Canada, net revenue increased 2% from last year to $214 million. Comparable sales growth was similar on both sides of the border. Net revenue in our retail channel was $358 million, an increase of 9% from the first quarter last year. This was driven primarily by the performance of our new and repositioned boutiques, which continue to generate better-than-expected payback periods. We also delivered positive sales growth in our comparable boutiques. In e-commerce, net revenue for the quarter was $141 million, an increase of 4% from last year. E-commerce continued to be impacted by a lower volume of markdown sales, as a result of our improved inventory position compared to the first quarter last year. Importantly, sales trends accelerated throughout the first quarter, as we received reorders and further optimized our inventory. We delivered gross profit of $220 million, an increase of 22% compared to the first quarter last year. Gross profit margin came in better than our expectations, increasing 510 basis points to 44% from 38.9% last year. The expansion was primarily driven by lower markdowns, IMU improvements, lower warehousing costs, and savings from our smart spending initiative. These improvements were partially offset by pre-opening lease amortization costs for our flagship boutiques. SG&A expenses for the quarter were $176 million, up 15% from last year. SG&A as a percent of net revenue increased 220 basis points to 35.4% compared to 33.2% last year. This was driven by investments in digital marketing to help protect and propel our brand, as well as infrastructure projects and technology initiatives to support our growth. Keeping a long-term focus, we continue to balance strategic investment in the future of the business with delivering significant margin improvement. Adjusted EBITDA in the first quarter was $54 million, an increase of 71% from last year. Adjusted EBITDA as a percent of net revenue inflected positively, expanding 400 basis points to 10.8% compared to 6.8% last year. At the end of the first quarter, inventory was $397 million, down 18% from the end of the first quarter last year. Our teams have worked diligently to optimize the quantity and composition of our inventory and we are pleased with our position. We had $101 million in cash at the end of the first quarter and zero drawn on our $300 million revolving credit facility. We remain focused on maintaining a strong balance sheet and expect to see meaningful free cash flow generation starting in the back half of fiscal 2025 as our capital spend begins to normalize. Shifting to our outlook, based on quarter-to-date trends, net revenue in the second quarter of fiscal 2025 is expected to be in the range of $570 million to $590 million, representing an increase of 7% to 10% compared to the second quarter last year. The acceleration of our store expansion strategy begins in Q2, with four new boutiques, including one that is already opened in the quarter. We expect gross profit margin in the second quarter to increase by approximately 450 basis points compared to the second quarter of fiscal 2024, driven by IMU improvements, lower warehousing costs, lower markdowns and savings from our smart spending initiative. We forecast SG&A as a percent of net revenue to increase by approximately 100 basis points to 150 basis points in the second quarter compared to the second quarter of fiscal 2024, driven by investments in our digital business and technology initiatives. In addition to our further optimized inventory position, these investments are also contributing to an acceleration in e-commerce revenue. For the full year of fiscal 2025, we continue to expect net revenue in the range of $2.52 billion to $2.62 billion, representing growth of 8% to 12% from fiscal 2024, or growth of 10% to 14% excluding the 53rd week last year. Our net revenue acceleration in the back half reflects the anticipated cadence of our boutique openings and increased momentum in our e-commerce business. We are on track to open 11 to 13 new boutiques and to reposition three to four boutiques this fiscal year. This includes our new Chicago flagship and two Manhattan flagship repositions. We anticipate total square footage growth of 20% to 25%, including approximately 50% growth in the United States. In e-commerce, we're encouraged by the momentum we've already started to see and we expect trends to continue to accelerate through the back half of the year, with our inventory optimized and as we open boutiques, launch our enhanced website, and refine our digital marketing strategy. We continue to forecast meaningful gross profit margin expansion for the year of 400 basis points to 450 basis points compared to fiscal 2024, and we also continue to expect SG&A as a percent of net revenue to be approximately flat to down 50 basis points compared to fiscal 2024. Our outlook for adjusted EBITDA as a percent of net revenue in fiscal 2025 remains 400 basis points to 500 basis points of expansion, reflecting the leverage across the range of our net revenue outlook. We expect capital expenditures for fiscal 2025 of approximately $230 million. This includes $190 million related to investments in new and repositioned boutiques for fiscal 2025 and the start of construction for boutiques opening in early fiscal 2026. This also includes $40 million primarily related to the expansion of our distribution center network in Vancouver. In closing, we're extremely pleased with the progress we're making across our business. We have optimized our inventory position, our newest boutiques continue to deliver strong revenue growth and attractive payback periods, and our planned store openings are on schedule. We have multiple initiatives underway to continue to reaccelerate trends in our digital channel, and we have started to see meaningful margin improvement and are on track to deliver 400 basis points to 500 basis points of adjusted EBITDA margin expansion this year. For the fiscal year, the combination of the anticipated revenue acceleration and margin expansion will nearly double our earnings. We remain focused on executing across our growth pillars and investing in the infrastructure that will allow us to deliver consistent revenue and earnings growth over the long term. With that, I'll now turn the call back to Jennifer.
Jennifer Wong: Thanks, Todd. Our top-line momentum has continued so far into Q2 and we're encouraged by the positive response to both our new styles and client favorites. We're pleased with the progress we've made to optimize our inventory position, allowing us to return to our proven operating model. I'm optimistic about what lies ahead in fiscal 2025 as we work on advancing our primary growth levers, real estate expansion, e-commerce acceleration and growing our brand awareness. First, the performance of our new boutiques continues to beat our own expectations and our store productivity is among the best in the industry. This is why we're particularly excited about the extraordinary pipeline of boutiques opening this year, representing total square footage growth in the United States of approximately 50%. Our teams have been working incredibly hard and our openings are on track. This includes a total of 12 new and repositioned boutiques expected to open in just the next five months by the end of the third quarter. The increased pace of openings is expected to fuel retail sales growth and drive incremental e-commerce sales as we expand into new markets. In e-commerce, the optimization of our inventory has started to generate accelerated sales growth. Additionally, our strategic focus on digital marketing, technology, omnichannel and international further supports growth in our digital business. As many of you know, after 40 years in business, we're very well-known and loved in Canada, and we're well on our way to replicating that love in the United States. We currently have just 52 boutiques in the US and believe the opportunity to grow our brand remains tremendous. We're confident in our ability to attract new clients to Aritzia, while deepening our current clients' affinity for the brand and our much-loved Everyday Luxury experience. In closing, we're confident that our real estate expansion strategy, digital initiatives and growing brand awareness will enable us to deliver consistent, profitable growth and enhance shareholder value for years to come. Thank you.
Beth Reed: And with that operator, let's now open up the line for questions.
Operator: [Operator Instructions] First question comes from Mark Petrie with CIBC. Please go ahead.
Mark Petrie: Yeah. Thanks, and good afternoon. I wanted to just ask about the performance of the new stores. And Jennifer, I think you called out at the Boca Raton location that 60% of the customers were new to the Aritzia brand. I just want to make sure I heard that right. And then also, if you could just comment like, how does that compare to what you've seen from your other new stores in new markets over the last two or three years?
Jennifer Wong: You did hear me right. In that first week, our Boca Raton store saw 60% of the clients coming through being new clients to Aritzia. We're seeing that this is consistent with our recent store openings. For instance, the last one that we opened in Sacramento at Galleria Roseville in roughly the first month was also 50% of the clients being new. I think since Boca Raton has opened, it's around the 50% mark as well. So, what we're thrilled about is that this is exciting for our growth in the US as we continue to open stores in new markets. It's very encouraging that our stores continue to be our number one client acquisition vehicle.
Mark Petrie: Okay, thanks for that. And if I could just follow up on the sales momentum, I think the Q2 guidance is 7% to 10% growth. You've got some additional new stores coming into the network during the quarter. The Q1 growth was up 8% and you were calling out how the trends accelerated through Q1. So, I'm just hoping you could square that up, and is that just sort of pointing to the upper end of the range? Is the lower end just sort of conservatism? Maybe, Todd, you could just elaborate on the Q2 sales guidance? Thanks.
Todd Ingledew: Yeah. Thanks, Mark. So, as you said, the top end of our guidance range is close to the trend that we saw as we exited the first quarter in May. And given that there is a large portion of the quarter still in front of us, including the launch in fall, we just felt it was prudent to have a range of scenarios within the guidance. And the stores that we're opening this quarter are predominantly centered around the end of July and the beginning of August. So, we don't have a full quarter of those new stores, but we are extremely pleased with the acceleration that we saw throughout the first quarter and that momentum has continued into the second quarter thus far.
Mark Petrie: Okay. Understood. Appreciate all the comments and all the best.
Operator: The next question comes from Luke Hannan with Canaccord Genuity. Please go ahead.
Luke Hannan: Thanks. Good afternoon. I wanted to ask about digital marketing and specifically the campaigns that you've rolled out so far. Can you share with us any specifics on certain KPIs like return on ad spend? How is that unfolding relative to your expectations, maybe conversion as well, just to give us a sense of the progress there?
Jennifer Wong: Yeah, we just started our digital marketing at the -- pretty much at the beginning of this year. We experimented a little bit in the last quarter of last fiscal year, but we're really taking a meaningful approach this year. It's still overall -- I want to remind you is it's still overall a low-single-digit percentage spend of our overall revenue. What we're doing is we're paid influencer, paid search, paid social and affiliate marketing, all of these in combination. We're starting to see positive results to our business. Certainly, it's driven traffic in the last quarter quite meaningfully. We're seeing our conversion remaining consistent. So -- and we're seeing our e-commerce accelerated throughout the quarter. In addition to the product optimization we did, we do believe the digital marketing was accretive to that. So, certainly, our early indicators show that the ROAS is higher than industry. So, we're pleased to see that on some of the basic metrics that we're performing better than our industry is showing. And it's still early days that we're putting in place different metrics for us to monitor and calibrate our digital marketing. It will probably take the better part of the year to get it exactly where we want it, because it does take time for the calibration to take place, but we're very encouraged with what we're seeing so far.
Luke Hannan: Very helpful. Thanks. And then, I wanted to follow up on the gross margin performance in the quarter. Was, Todd, slightly ahead of expectations. Curious to know if that's entirely driven by better-than-expected leverage on fixed costs because of the sales performance or if there's anything else to call out there? Then, maybe I'll just squeeze in, if you can share your thoughts on freight as well and if that's appropriately reflected in the margin guidance for the year?
Todd Ingledew: Yeah, no problem. So, there are two factors that related to the beat in the quarter from a gross profit perspective. So that's 510 basis points of expansion being higher than what we had expected by about 60 basis points. And it was, as you said, one, from the leverage from the higher sales than expected in the month of May, but it was also from stronger-than-anticipated tailwind from lower markdowns. So, that improved inventory position is not only driving sales, but also supporting lower markdowns. And so, that strong full-price selling that we saw, particularly in May, helped us incrementally as far as the beat goes in gross profit. And then, from a freight perspective, our sea freight rates are fairly locked in. They don't have a large variance attached to them. It's really the air freight. And we are anticipating higher air freight this year, both from a price perspective or a cost perspective, and also from a volume, we'll be using more air freight this year as we're back to our normal standard operating model, where air freight is used to get reorders in as quickly as possible. So, we will see an elevation in air freight for the year, but it's all contemplated in our guidance.
Luke Hannan: Very helpful. Thank you very much.
Operator: The next question comes from Irene Nattel with RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks. First question, we've been talking a lot about newness. It sounds as though you're really pleased with how that played out in the quarter, but wondering if you could provide just a little bit more color on the types of newness that you're seeing and what we should be expecting as we move through the summer into fall?
Jennifer Wong: Yeah, we're absolutely back to our historical balance of newness versus client favorites. We're back to our proven operating model. As we do it every season, we introduce new items. I won't call out specifically the items because you'll see in our emails when we're introducing the new items. There's probably too many to mention, but you'll see in our emails when we announce the newness and the new items, you'll see when we get them back in stock. And all of these efforts have put us back in a position where we are quite pleased with where we're sitting with our product and our inventory situation. As we receive reorders throughout the quarter, this further optimized our inventory, and as we said, the continued refinement of our inventory [affected] (ph) sales positively as sales accelerated throughout the quarter. And so, all in all, we're quite pleased with the quantity and the composition of our product and our inventory. And I would say that all of the conversation that we've had about product and inventory in the past year is behind us.
Irene Nattel: That's great to hear. Thank you. So, in light of the good momentum that we're seeing, I guess one of the questions is why no upward nudging of the guidance for F '25 and what will it take to get there?
Todd Ingledew: Yeah, I'll take that one. In terms of the guidance, Irene, we are pleased with the momentum that we were seeing and that we experienced through the back part of Q1 and into the first part of this quarter. However, Q1 represents approximately 20% of our revenue. So, we still have 80% of the year to go. So, still a long way to go. And given the dynamic macroenvironment, again, we just believe it's prudent to reaffirm our annual guidance. And as we move through the quarters this year, we will revisit that.
Irene Nattel: That's great. Understood. Thank you.
Operator: The next question comes from Brian Morrison from TD Cowen. Please go ahead.
Brian Morrison: Thanks very much. I want to go back to the question that Mark had on new store productivity, because it's a big driver here. So, just over the past year, I wonder if the new norm is a payback less than one year, are the US stores in local currency, are they tracking well ahead of the C$1,000 of sales per square foot in Canadian dollars, and if so, by how much? And is your target this year that 60% of revenue growth is to come from new stores and rentals still?
Todd Ingledew: So, yes is the answer to the last question. We still anticipate that 60% will come from the new stores and the expansions and reposition. And the inline stores in the United States, so our standard store of 8,000 to 10,000 square feet new store, they are paying back in less than 12 months, and they are exceeding the $1,000 a square foot and that's why they're exceeding our payback expectations of 12 to 18 months. And then, we don't provide sort of specific detail around sales per square foot, but I'll just -- so I'll leave it at that.
Brian Morrison: Okay. And then, I guess, Todd, if I can have a follow-up here? If these encouraging trends continue throughout the second half, as you're saying, through the important holiday season, you're going to have some pretty significant net cash come year-end and you're going to have declining CapEx next year. I'm wondering if an active NCIB is at the top of your capital priorities, or how you're thinking about that?
Todd Ingledew: Yeah, 100%. I mean, after taking CapEx and investment in the business into consideration, our next priority, as we've shown in the past, is to buy back shares, and we have been inactive thus far on the NCIB this year and that's purely related to the excess cash position and the fact that we have all of these investments that we're making in the business that are delivering meaningful returns and we want to focus on that. But as you said, and as we work our way into the back half of the year, we do anticipate starting to build that cash position again. And at that point, we will look at using the NCIB in a more meaningful manner.
Brian Morrison: I'll leave it there for now. Thanks very much.
Operator: The next question comes from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good afternoon, everyone. Just wanted to clarify with respect to the new stores, new boutiques for the balance of the year, Jennifer, did I catch correctly that you have accelerated those new store openings like you've brought some forward? And if so, can you just give the breakdown of what you expect in terms of new boutiques by quarter through the balance of the year?
Jennifer Wong: By accelerate, I meant compared to what we've done in the first quarter. We've opened two in the first quarter here, but then the majority of it will be in the back half of the year. That's what I meant by accelerated. We haven't actually accelerated the dates of the opening. They're on track, as we've stated before. And are you asking for the cadence of the store?
Todd Ingledew: Yeah, I can provide [indiscernible].
Stephen MacLeod: Yes, please, yeah.
Todd Ingledew: So, we've opened two stores year-to-date, one reposition in the first quarter and then one new store thus far in Q2. But the way it is rolling out for the year is that we'll have, as of today, four new stores in the second quarter, eight new stores in the third quarter, and then one store in the fourth quarter from a new store perspective. And then, from an expansion and reposition perspective, we had one in the first quarter. We're expecting to have two in the third quarter and then one additional in the fourth quarter. So that's our cadence today. A number of the stores in the third quarter are in November. So, there is a chance that one of them -- maybe one or two slides a week or two into the fourth quarter, but as we said, we're well on track and on schedule for delivering those stores as we expect.
Stephen MacLeod: Right. Okay. That's great color. Thank you. And then, just coming back to the 2025 guidance, you obviously reiterated it here, which is great to see. Just when I'm thinking about the SG&A as a -- for the balance of the year, you're guiding to kind of flat to down 50 basis points, is over performing on SG&A relative to your guidance, would that be largely just driven by the comps or is there something else in there that you could do on SG&A to think about driving increased leverage compared to what your current guidance implies?
Todd Ingledew: Yeah. I mean, obviously, we're currently targeting what we've provided, which is flat to 50 basis points of leverage for the full year. We do expect sequential improvement throughout the year with the back half of the year being leverage of approximately 150 basis points. So, pressure continuing, as we've stated in the first half of the year, and then leverage in the back half with sequential improvement landing us at that flat to leverage of 50 basis points. So, we haven't changed that. That's what we're expecting. The beat in the first quarter was driven by predominantly leverage that we experienced from the higher revenue.
Stephen MacLeod: Okay, that's great. And then, I just had just one more, if I could. You talked a lot about optimized inventory driving e-commerce sales, even retail sales. Do you have an inventory target? Like, how should we think about that evolving through the balance of the year? Is it kind of in-line with revenue growth?
Todd Ingledew: Yeah. For the end of the second quarter, we will still see a year-over-year decline in inventory as we're still lapping elevated levels from last year, but then as we start to work our way into the back half of the year, and then from then forward, we would expect that our inventory will grow directly in-line or very closely in-line with our revenue growth as it has historically for years prior to the pandemic.
Stephen MacLeod: Great. Okay. Thanks, Todd. Thanks, Jennifer. Appreciate it.
Operator: The next question comes from Michael Glen with Raymond James. Please go ahead.
Michael Glen: Hi. Just on gross margins, so you're talking about this improving -- continually improving inventory composition and then lower markdowns as the positive influence on gross margin, but, like, is there -- I'm just trying to assess like you do expect a relatively sizable stepdown in gross margin in Q2 relative to Q1. So, I know there's some normal seasonality, but is there anything else in there that we should be thinking about?
Todd Ingledew: Yeah. Our improvement in gross profit margin on a year-over-year basis is consistent, Q1 to Q2, that's the 450 basis points. However, the second quarter, like on a historic basis, if you look back, that's our sale period, one of our sale periods of the year, June and even into -- June and July. And so, the second quarter and the fourth quarter of the year being the quarters where we have our sale periods, those are always historically a lower gross profit than the first and third quarter.
Michael Glen: Okay. But you're still seeing -- so would you expect then -- are you expecting for this Q2 relative to prior years to have a similar level of sale activity in Q2? Like, I'm just trying to gauge it versus history, where you expect that to be?
Todd Ingledew: Yeah. So, markdowns will be a tailwind in the second quarter as they were in the first compared to last year. And the markdowns in Q2 will also be lower than pre-pandemic levels. So, we're -- on both measures, they would be a tail end. And maybe just...
Michael Glen: Okay.
Todd Ingledew: I'll just take the opportunity for a second, just because the 450 basis points for the year is driven by IMU improvements of 150 basis points, lower warehousing costs of 125 basis points, the lower expected markdowns of 100 basis points, and then savings from our smart spending initiative of 75 basis points. So, it's just to give you the building blocks, those are the four key drivers of that 400 basis points to 450 basis points of improvement for the year.
Michael Glen: Okay. And then just on the store openings, like, as we think about next year, fiscal '26, like what's the -- are you seeing a potential for higher number of store openings next year versus what we might be modeling?
Todd Ingledew: So, our multi-year guidance for eight to 10 new stores, we do have a strong pipeline already under development for next year, but it's too early to confirm the exact number.
Michael Glen: Okay. Thank you.
Operator: [Operator Instructions] The next question comes from Mauricio Serna with UBS. Please go ahead.
Mauricio Serna: Great. Good afternoon, and thanks for taking my questions. I just wanted to confirm the comment that you guys saw positive comp sales across both geographies and both channels. And then, maybe if you could talk a little bit more about the exit rate that you had at the end of the quarter, maybe from a, like, total sales and comp sales perspective, that'll be super helpful. Thank you.
Todd Ingledew: Yeah. So, just to confirm that we had positive comparable sales in the first quarter in all channels and all geographies, so Canada e-comm and retail and US e-comm and retail. The guidance for Q2 of 7% to 10%, the top of that range is close to the exit rate for total revenue that we exited the first quarter and the comp would have been in mid-single digits.
Mauricio Serna: Got it. Super helpful. And then just lastly, if I may follow up. On the gross margin puts and take, one of the headwinds still is the pre-opening flagship amortization. Could you give us a sense like how much of that was -- of an impact you had in Q1 and the expectation for the rest of the year, if you have an idea? Thank you.
Todd Ingledew: Yeah. We expect that headwind to continue for the year. Once we open the new flagship stores, we will still have -- for the rest of the year, we'll still be paying for the rent in the existing locations. And either the cost or the benefit that's going to come off is reasonably meaningful in the 50 basis points to 100 basis point range.
Mauricio Serna: Got it. Very helpful. And congrats on the results.
Operator: This concludes the question-and-answer session. I will now turn the call back over to Beth Reed for any closing remarks.
Beth Reed: Thanks, again, to everyone for joining us this afternoon. We're available after the call to answer further questions, and we look forward to providing another update next quarter.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.